Operator: Good day, ladies and gentlemen, and welcome to the Genesis Pharmaceuticals Second Quarter Conference Call. My name is Erica and I'll be your coordinator for today. At this time all participants are in a listen-only mode. We'll facilitate a question-and-answer session towards the end of this conference. (Operator Instructions). I would now like to turn the presentation over to your host for today Mr. Crocker Coulson. You may proceed, sir.
Crocker Coulson: Thank you very much. And good morning, everyone and welcome to Genesis Pharmaceuticals second quarter of fiscal year 2009 earnings conference call. I am Crocker Coulson, President of CCG Investor Relations. With us today on the call is, Ms. Elsa Sung, Chief Financial Officer; and Mr. Haibo Xu the company's Chief Operating Officer. Before I turn the call over to Elsa, I'd like to remind our listeners that in this call management's prepared remarks contain forward-looking statements which are subject to risks and uncertainties. And management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may differ from those discussed today and, therefore, we'd like to refer you to a more detailed discussion of these risks and uncertainties in the company's filings with the SEC. In addition, any projections as to the company's future performance represent management's estimates as of today, February 17, 2009, and Genesis Pharmaceuticals assumes no obligation to update these projections in the future as market conditions change. With those formalities completed, it's now my pleasure to turn this call over to Genesis Pharmaceuticals' Chief Operating Officer, Mr. Xu. Please go ahead, sir.
Haibo Xu: Thank you, Crocker. Welcome everyone, and thank you for joining us today for our second quarter ended December 31, 2008 of our fiscal year 2009 earnings conference call. We are pleased to report that Genesis Pharmaceuticals achieved solid result last quarter. Our overall sales increased with a higher gross margin related to the comparable period last year. Our products remain popular among consumers; increased sale of Itopride Hydrochloride Granules on the Baobaole Chewable Tablets were responsible for most of our revenue gains. Our latest, over-the-counter product, Radix Isatidis Dispersible Tablets, for which we received SFDA manufacturing and the distribution approval last summer is already contributing to revenue growth. We are also excited about our recent agreement to acquire the asset of Shandong Hongrui Pharmaceutical Factory including two traditional Chinese medicine. This purchase is an important acquisition for us that we believe will contribute related to all future growth. Now, that we have completed several operation proceeding in which we probably saw throughout the end of 2008 and the beginning of 2009. We can once again focus our attention on our business operation. We were recently engaged, KPMG Huazhen to help develop a SOX 404 Compliance Program to enhance our internal financial reporting and the control systems. This was down as part of our operation for upgrading the listing of our shares to the NASDAQ capital market. During the course of this conference call, we look forward to sharing recent developments of Genesis with you, discussing our growth strategies on answering your questions. Thank you. Hello, Crocker?
Sung Elsa: That's okay. Thank you, Haibo on the synergy. Let me just go ahead and take over. Welcome, everyone and thank you for joining us today for our second quarter fiscal year 2009 earnings conference call. And, I know it's early, but we are very pleased to share with you that Genesis Pharmaceuticals achieved solid financial results in the quarter ending December 31, 2008. The revenue was 32.9 million, up 24.1% from the corresponding quarter ending December 31, 2007. And gross profit was 25.8 million, up 30.8% from the corresponding quarter in 2007. Operating income was 11.4 million, up 34.7% from the corresponding quarter in 2007. Net income was 5.4 million representing fully diluted earnings per share of $0.11. The non-GAAP adjusted net income was 7 million or $0.71 per share up 28.8% from the non-GAAP adjusted net income of 5.4 million or $0.50 per share for the quarter ending December 2007. We are currently selling six main products; Itopride Hydrochloride Granules, we use this to treat our gastrointestinal system related diseases. This product accounted for approximately 28.8% of our total sales in the quarter ending December 31, 2008. And this product has approximately 10% to 12% of its market in China, and a gross profit margin of approximately of 85%. Baobaole Chewable Tablets is used to promote children's appetite and digestion and continued to be one of our strongest sellers and accounted for approximately 27% of our total sales in the quarter ending December 31, 2008. Demand is flowing for our Clarithromycin Sustained-release Tablets, which is used to treat infection, but this product still accounted for approximately 36.2% of our total sales in the quarter ending December 31, 2008. It is a mature product that is seeing slowing sales due to the competition from other drugs and product substitution. Two of our other drugs; Ciprofloxacin Hydrochloride Tablets and Paracetamol Tablets have low profit margins, because of intense competition. Eventually, we plan to retire these two products from the market and replace them with new drugs in our product pipeline. We received SFDA approval to manufacture and distribute Radix Isatidis Dispersible Tablets in July of 2008. This is the over-the-counter herb-based traditional Chinese medicine used to cure viral influenza meaning common cold and flu symptoms. In October 2008, we began to sell Radix Isatidis Dispersible Tablets through our distributors located throughout China. The sales on this product increased quickly. It has already accounted for approximately 7.6% of our total sales this quarter. We expect to get SFDA approval in the calendar year 2009 to manufacture and distribute several new drugs including; Felodipine Sustained-release Tablets. It's a western drug used to treat high blood pressure and arteriosclerosis. Second one is Yuandu Hanbi Capsules, it's a traditional Chinese medicine used to relive arthritis pain and Bezoar Yijin, it's a traditional Chinese medicine used to cure inflammations such as pharyngitis. And we plan to begin immediately manufacture and distribute those products once we receive approval from the SFDA. A fourth drug which we are looking to acquire is Ligustrazine Ferulic Acid Acetate, also called LFAA, which is in its final phases of clinical trials. This traditional Chinese medicine helps reduce blood clotting. However, we are negotiating a final purchase price for LFAA with Shandong University, LFAA's developer. We are also evaluating the overall market conditions, and the cost and benefits of acquiring LFAA and other alternative drugs in regard to maintaining our flexibility in pursuing future business development plans. Acquisition of Hongrui as just said that we were very pleased to announce last month that our wholly owned operating subsidiary Laiyang Jiangbo filed an asset transfer agreement to acquire the assets of Shandong Hongrui Pharmaceutical Factory. This acquisition includes Hongrui's manufacturing facilities, and a warehouse land equipment and various inventories. The acquisition of Hongrui will increase our product portfolio from six to 28 products during a time when the Chinese SFDA is tightening its standards and slowing down its approval process for a new drug. A large number of traditional Chinese medicine products will help increase our presence in the over-the-counter drug market, and help us balance our over-the-counter sales with sales of prescription drugs. Hongrui's total contract price was RMB 110 million, approximately 16.1 million consistent of the RMB 66 million in cash. This is approximately $9.6 million. And, 643,651 shares of Genesis' common stock. Because the fair market value of those shares was approximately 2.6 million at the time of entering the contract. We have valued the transaction at approximately 12.2 million. And we expect to pay-off the entire required cash payments by the end of March 2009, which is next month. This transaction was legally approved by the Shandong State Owned Assets Administration Department. As a result Hongrui's tangible assets were transferred to Genesis on February 5, 2009. We currently are in the process of final production testing, and we are getting ready to begin production very shortly. And most of the production machinery and equipments in the factory plants is in good condition and ready for use. We will continue to employee majority of Hongrui's experienced workers and technicians, and some of the sales managers from Hongrui. And, we expect to begin manufacturing, labeling and distributing those Hongrui products under our own brand name Jiangbo in either late March or early April. And, we will start by focusing manufacturing and distributing 11 of the 22 drugs purchased from Hongrui, as a first phase of expansion because those drugs have higher profit margins. And, this product include into pediatric, cough syrup and Radix Isatidis Granules, and Motherwort Herb electuary And also, it has Laiyang Pear cough syrup, and (inaudible) treatment tablet and oral liquids for treating children's cough and asthma, pills for liver and stomach ailments, and antifibral (ph) oral liquid for children. Manufacturing will take place at their facility we acquired from Hongrui, and distribution will take place through our current extensive sales network. The Shandong Province, SFDA, recently approved the transfer of the registration numbers of the Hongrui's 22 drugs to Laiyang Jiangbo, and we are currently awaiting on approval for the transfer of Liuweidihuang trade and building title. Those are the final approvals that are needed in order to have the fuller control in ownership of Hongrui. And, we were competing for the acquisition by delivering 643,651, nearly issued shares of the company's common shares within one year of the date on which the asset transfer agreement was filed. Arbitrations; the company participated in a number of American Arbitration Association, AAA proceedings in the last part of 2008 and beginning of 2009. And, some of the claims against Genesis were eventually withdrawn, and Genesis filled counterclaims in some of the other proceedings. On February 2, 2009, the company was notified by AAA panel that the panel awarded a total of $980,070 to claimants in the last remaining arbitration proceedings against the company. This amounts to about 4% of the original amount planned in the arbitration proceedings and denial of the claims request for cost and pre-judgment interest. Once this joint claim is satisfied the parties who brought the arbitration proceedings against the company, will no longer be able to seek Genesis' shares or any other properties that was originally sort in the arbitration proceedings. Now, that we are able to put those legal issues behind us, the management can turn its full attention to managing and growing Genesis Pharmaceuticals on behalf of its investors. We believe that the recent crisis for Genesis' shares do not reflect the true value of our company and we are confident of our long-term financial performance as part of our commitment to intensing the value of our shares. In November 2008, our Board of Directors authorized up to 2 million in the open market share purchases. While, no shares have yet been repurchased, we are currently working buying back the shares with the brokers. We have engaged KPMG Huazhen to help us meet implement, Sarbanes-Oxley Act Section 404 requirements. This should be viewed as part of management's commitment to conduct ongoing review of its internal reporting and control procedures. We engaged KPMG Huazhen to help us ensure that we are using the best possible financial reporting and internal control practices. Financial results; I would now like to provide a more detail overview of the financial results for the second quarter of fiscal year 2009 ending December 31, 2008 then to discuss the company's business outlook for the next 12 months. I'll be using non-GAAP measure of adjusted earnings per share in discussion of earnings. A table that reconciles the adjusted non-GAAP income used to calculate adjusted earnings per share to GAAP net income is included in earnings press release which we sent out earlier today. The second quarter results; total revenue from sales and sales to related party totaled 32.9 million for the three months ending December 31, 2008 up 24.1% or 26.5 million for the three months ending December 31, 2008. Strong revenue growth in the second quarter of fiscal year 2009 was driven by the sales of Itopride Hydrochloride Granules and Baobaole Chewable Tablets. Sales of Radix Isatidis Dispersible Tablets was down because it is a drug which is used to treat cold symptoms and its stronger sales are in the winter months the cold and flu season. And the gross profit in the second quarter of fiscal year 2009 was 25.8 million, an increase of 30.8% from 19.7 million in the prior year's corresponding period. Gross margin was 78.3% compared to 74.3% for the three months ending December 31, 2007. Research and development cost, totaled 1.1 million from the three months ending December 31, 2008. In September of 2007, the company entered into a three-year cooperative research and development agreement through which the local provincial university is responsible for designing, researching and developing designated pharmaceutical projects for the company. And will provide technical services and training to the company and the company pays for the agreement on a monthly basis. The selling, general, and administrative expenses were 13.3 million for the three months ending December 31, 2008, up 28.8% from 10.3 million in the three months ending December 31, 2007. Salary, wages and related benefits, increased because of the higher sales commission and higher sales volumes. The income from operations was 11.4 million for the three months ending December 31, 2008, 34.7%, increase from 8.5 million from the three months ending December 31, 2007. Although the company had a 2.9 million increase in income from operations, other expenses increased by 2.9 million, this includes an approximately 420,000 on the sale of marketable securities and an unrealized loss security investments of 1.3 million. The net income for the three months ending December 31, 2008 was 5.4 million, $0.11 diluted earnings per share compared to 5.2 million for the three months ending December 31, 2007 or $0.02 diluted earnings per share. Excluding the unrealized net loss on security investments and a non-cash charge for amortization of debt discounts and issuance cost related to convertible debentures, the non-GAAP adjusted net income for the three months ending December 31, 2008, was 7 million or $0.71 per share, a 28.7% increase from non-GAAP net income of 5.4 million or $0.56 per share for the three months ended December 31, 2007. I would now like to briefly review our financial conditions as of December 31, 2008. As of December 31, 2008, the company had 83 million in cash and restricted cash. The working capital was 83.11 million, up from 72.5 million as of June 30, 2008. Current liabilities were 33.7 million, and the long-term debt consists of 4 million in convertible debt. Shareholders equity was 102.9 million. The company generated approximately 26.4 million in cash flow from the operating activities in the first half of fiscal year 2009, compared to 2.9 million for the first six months of fiscal year 2008. I would now like to discuss our business outlook and financial guidance. We still expect strong revenue growth to continue through the rest of fiscal year 2009 for a number of reasons. Number one; sales are strong for a number of our current products, and we expect sales to continue to grow. And two; we expanded our product line by purchasing Hongrui's product line, and we will sell Hongrui's product through our extensive sales network. Three, we will continue developing new drugs through close cooperation with university research facility. And four; the Chinese government recently announced that it planned several initiatives to make medical services and health insurance more widely available, which should add to the demand for our products, which are used to treat common illness. And in line with what have taken place during the first six months of our fiscal year 2009 and with our current growth outlook. We currently expect revenue for fiscal year 2009 to be from 122 million to 130 million, and the operating income to be from 40 million to 43 million. We appreciate the interest and support that our shareholders have shown Genesis. I hope that I have been able to provide you a sense of our excitement about the future, and the future of your company. We look forward to becoming more widely known to the international investment community in the future and I look forward to announcing to you when we will submit our application for listing on the NASDAQ market. With that I think it's time to open the floor to questions. Operator?
Operator: Yes ma'am. (Operator Instructions). And your first question comes from the line of Dimitri Wagner from Genesis Pharmaceuticals (ph). You may proceed.
Unidentified Analyst: Good morning, Elsa and the rest of the Board.
Sung Elsa: Good morning.
Unidentified Analyst: Good morning, Elsa. I have a couple of questions real quickly. On the other expenses listed and I'm looking at those and, are most of those related to the discontinued operations and what are the discontinued operations?
Sung Elsa: A portion of it actually was, yes a portion of it actually was related to the discontinued operations. And another major portion of it almost as big as the discontinued operation was the interest expense and the interest expense under this line item are comprised of several components. One is the amortization expenses related to the convertible debenture. And then we have the actual of course the interest on those convertible debenture and also we have the amortization on the debt issuance cost related to those convertible debenture both also included in this interest expense line item. And another portion that's not quite as big but also in this other expense category was the loss on change of the market value on those securities holdings that we currently have in our portfolio.
Unidentified Analyst: Do you see the other expenses declining as we move into the future?
Sung Elsa: Yes, yes, part of the reason that we will see the loss from discontinued operation to decline is probably recognize of course the arbitration has come to us now. And in last quarter our loss from discontinued operation was significantly higher than previous quarter it was because the arbitration's amount that was awarded by the AAA was included in this line item. That's why this quarter is considerably large than last quarter.
Unidentified Analyst: Okay, great.
Sung Elsa: Now going forward we do expect this to decrease.
Unidentified Analyst: Great. Now, one other comment that you made in your notes in the liquidity of the capital resources about the PRC has strict rules in converting the RMB to other currencies and movement of funds from the PRC and management is evaluating resolving the situation--
Sung Elsa: Yes.
Unidentified Analyst: So I see that you are having trouble moving monies from China to the United States. Talk to us a little bit about that and what you see to remedy that?
Sung Elsa: But before I go on, let me I was very sorry I forget to translate for the Chinese side--
Unidentified Analyst: Okay.
Sung Elsa: I just want to make sure they don't, they are not left out. So let me go ahead and then go back to translate our Q&A from the previous question for them and then I am going to come to that if that's okay.
Unidentified Analyst: Yes. [Foreign Language].
Sung Elsa: Okay, that was Mr. Xin (ph). He explained that currently because of the global financial crisis, the China government does put more restrictive regulations on letting the money transfer out of China. And prior to last year, prior to last part of 2008, the restriction was mostly on money coming into China and subsequent to the financial crisis, the restriction have swift over to more of wiring money out of China. And the management currently is working to make payments to the States as much as we could. And also, we are working very closely with the local government, seeking approval for other solution that would be permitted by the government to resolve the situation. So we can meet our expenses in the U.S. as far as other needs for the capital in the U.S.
Unidentified Analyst: Okay, okay. So you see that being remedied sometime in the future then?
Sung Elsa: Yes, yes. Let me translate the question for Mr. Xin. [Foreign Language].
Sung Elsa: Mr. Xin just said yes we do anticipate we will see the remedy in the near future and the China government may have change in the policy. And eventually it's going to have to make it more flexible so the commerce can continue. So we do anticipate that the problems will get solved in the near future.
Unidentified Analyst: Okay. When money is moved to the United States is that subject to U.S. taxes or is it already taxed in China?
Sung Elsa: I don't believe the money... this is considered we are all one entity I don't believe the money is subject to the U.S. taxes because this is basically in industry it's all put it into China as we acquire.
Crocker Coulson: I think we need to our next questionnaire after this.
Sung Elsa: Okay.
Unidentified Analyst: All right, one question real quickly.
Crocker Coulson: I think you can come back in the queue. But I think we have to give some other questionnaires a chance.
Unidentified Analyst: Very good, very good.
Operator: Your next question comes from the line of Boyd Hank (ph). You may proceed.
Unidentified Analyst: Hi, good morning. I was wondering Elsa if you could provide a little bit more discussion and detail about the debt discounts, its convertible expense, we have not seen the press release for the second quarter by the way. So that explain there we can wait for that but there is a significant difference between recorded fully diluted earnings per share and basic earnings per share and I am just curious about the calculation of debt expense and the ongoing nature of debt expense?
Sung Elsa: Yes, let me just translate the question first and then we'll come back to you to answer. [Foreign Language]. Actually we have the reconciliation in our recently filed 10-Q, the amortization discount basically we'll calculate that the EPS, diluted EPS for the convertible debentures, we use this converted method, which is required by GAAP. How it was calculated basically, we have to take, it starts with the net income and then we will add back the amortization expenses as well as the amortization on the unamortized as well as the expenses on the debt issuance cost for the period. As well as the interest expenses and add back to the net income. Then we will take that subtract all the unamortized debt issuance costs, as well the unamortized debt discount. That would arrive at the net income for the diluted calculation purpose. And then the share, the number of shares would be just 40 accounted extend their rate meaning let's say if I have a 5 million debt convert to that $10 dollar. It's not going to be using the treasury math meaning you are going to have to compare the market price there, your conversion price et cetera. We are just going to take 5 million divided by 10 and get the number of share and then we are going to add buyback to the base of shares and we will arrive for the shares available for that diluted earnings per share calculation. And then of course we would take the diluted net income. Net income used for the diluted calculation purpose, divided by the 40 diluted shares and that would arrive on the diluted per share. And the big difference was of course because our debt still... a lot of our debt discount is still amortized. So since we have a significant portion on that unamortized debt discount, so we have to subtract that from our net income. As such you will see a big difference between the basic and the diluted.
Unidentified Analyst: Okay. Based on that schedule of amortization of writing-off the expenses associated with the convertible debt, when do you foresee that non-cash charge ending in the future?
Sung Elsa: I'm sorry; I didn't get your question. Can you repeat the question again?
Unidentified Analyst: Sure. My understanding of the convertible debt is that it's amortized over three years, there is an amortization schedule with non-cash charges, and there is a second charge here that goes into the fully diluted calculation for net earnings. When is that charge, that second charge going, because, I did not see this level of charges before, and I'm just curious if the accounting has changed in terms of how you arrive the calculating of fully diluted earnings per share?
Sung Elsa: Actually, all accounting has been consistent since our 30 million convertible debenture finance. And, in previous, the last quarter, the reason you didn't see this particular calculation was when you have the unamortized debt discount, large enough to make the reconciliation calculations to be anti-dilutive, meaning, as my unamortized debt discounts, if I take my net income, subtract my unamortized debt discount, it's going to give me a loss. Then at that point, I can't the anti-dilutive, at that point, we shouldn't use the anti-dilutive calculation. So in the past, the reason you probably did see this reconciliation was because that result in fact was anti-dilutive. On going forward, some of it is not anti-dilutive we will continue to use the consistent accounting treatment.
Unidentified Analyst: Okay. Let me just shift--
Sung Elsa: Did I answer your question?
Unidentified Analyst: Yes, that answers that. Thank you very much. I wanted to ask you about the new acquisition, Shandong, Hongrui. Can you talk a little bit about what its production capacity is, what its current utilization rate is like, and what kind of DSOs are you seeing for the OTC products that you sell through that group?
Sung Elsa: Okay. Let me go ahead and translate the question and then we will come back to the answer. [Foreign Language]. So Mr. Xin said that the... in the cash because the Hongrui factory was run by a local school so they weren't really focused on using it for commercial purpose. So in the past the capacity was at about 30% but going forward once we fully take over everything is on track operating regularly we expect this facility we will have close to a 100% capacity. And in terms of the DSO, we actually expect to have the similar collection speed on the Hongrui product mostly because once we organize this whole, once we organize the whole product line and combine and consolidated into our current sales network. It's basically going to do run the same way now we are running our current product. There will not be any significant differences. So we don't expect that they will be a material difference for the collection in terms of the drugs from Hongrui.
Unidentified Analyst: Okay, thank you. I'll get back into queue.
Sung Elsa: Thank you.
Operator: (Operator Instructions).
Crocker Coulson: Operator?
Operator: And we have a follow-up question from the line of Boyd Hank (ph). You may proceed.
Unidentified Analyst: Hi, I guess there is nobody else listening right now. I am going to ask another question about the acquisition again. You said that the equipment that was purchased was in good condition. What are your plans for improving the quality of the equipment that Shandong Hongrui is currently using and do you have a budget, a CapEx budget for that right now?
Sung Elsa: That's a very good question. Actually let me go ahead and translate the question and then I'll come back to answer it. [Foreign Language] So we actually yes, we do have plans to perform improvements as well as adjust the product line, the facility and equipment to fit our current production schedule. In fact, that's actually in the work and we also do have a CapEx on those projects and we estimated the capital expenditure on the Hongrui facility will be somewhere between $400,000 to $450,000.
Unidentified Analyst: Okay, thank you for that. I wanted to ask you a question about the... if your sales breakdown by product sales, I did not see any breakdown in your 10-Q. And, I have not yet been able to view the second quarter press release, are you going to provide some more detail in your Q, or is there also a breakdown in that press release about sales in the quarter organized--
Crocker Coulson: I also just went through that breakdown in your remarks, I am not sure if you were online at that time.
Sung Elsa: Okay, let me just go ahead and do it real quickly.
Unidentified Analyst: What I was just going to say is, is it possible to include that in the 10-Q?
Sung Elsa: Yes, yes that would certainly be a very helpful recommendation going forward. And, I would definitely take that in my... and then really prepare our future quarterly reporting as well as the annual reporting. I think--
Unidentified Analyst: Okay. So if it is in the press release, because I can wait for that if it's available.
Sung Elsa: I believe so. But, do you want me to go ahead and do it real quickly.
Unidentified Analyst: Sure.
Sung Elsa: Yes, the largest product still the Clarithromycin, it takes about 36.2%. And, the next largest one is the Itopride for the quarter is 28.3%, and the Baobaole Chewable Tablets almost 27%. And then we have this new product Radix is about 7.6%. So if you add that up, that's already accounted for about 99% of our sales.
Unidentified Analyst: Okay. In your guidance for fiscal year '09, in the second half of this year, you're guiding for roughly a similar amount of revenue in sales as you did in the first half of the year. What are you expecting in terms of Clarithromycin sales? I know that's been declining fairly steadily. I assume that you're expecting that to also continue with the decline through the second half of your fiscal year?
Sung Elsa: Yes. Okay, let me translate the question for the Chinese management, and then I will come back to the answer. [Foreign Language] So for the Clarithromycin for this quarter, we do see that sales might slowdown. But, in the quarter after this which we'll be starting April 1st, we anticipate that sales will come back and to pick again.
Unidentified Analyst: Okay, great. Thank you very much for all of your... answering all my questions. I appreciate it.
Sung Elsa: Thank you.
Operator: Your next question comes from the line of (inaudible). You may proceed.
Unidentified Analyst: And my first question is about the new acquired company, and could you estimate how long in time will the impact of the new plant cost, and how much revenue can the new company generate in the following quarters in this fiscal year? [Foreign Language]
Sung Elsa: And so to answer Ms. Jane's (ph) question we expect the production adjustment as well the preparation time to be completed by the end of March. We anticipate to start manufacture the product, somewhere close to beginning April. And the second question was how much the product from Hongrui will be... the revenue from that will be contributing to the company in the next coming fourth quarter starting April. And our current anticipation is that since those products are just newly coming into our product portfolio, our sales people will take time to actually adjust it to the product, get to learn the product and we also need to spend time to educate our customers and to market and promote this drug. So the first quarter, the revenue coming from those Hongrui in the first quarter starting April, will not be significant, we estimate that it will be under $1 million in the quarter starting April.
Unidentified Analyst: You mean that under1 million is that's right?
Sung Elsa: Yes.
Unidentified Analyst: Under 1 million okay.
Sung Elsa: Yes.
Unidentified Analyst: 1 million, okay that's quarter ended April?
Sung Elsa: This is the quarter starting April. [Foreign Language]
Unidentified Analyst: Okay. And I know these products are traditional Chinese medicine and could you estimate the gross margin above that?
Sung Elsa: Sure. [Foreign Language] So the question was, how much of that anticipated gross margin from the Hongrui product, how much would that be. And, we anticipate the first 11 products, we are going to manufacture and distribute should have the gross margin somewhere around 70% from the Hongrui product. [Foreign Language]
Crocker Coulson: Elsa may we should take this discussion offline?
Sung Elsa: Okay. Yes, no problem. Okay.
Crocker Coulson: Operator, do we have any other questions?
Operator: No, sir we have no further questions in queue.
Crocker Coulson: Okay. Well, we want to thank everybody for their interest in the story. As you can tell, management in very pleased to have another successful quarter and very excited about the year to come and the benefits from the recent acquisition that we announced. So anyone who is coming to China, we encourage you to come out to Shandong and visit our facilities. And, anyone who is interest in seeing U.S., please give us a call and we will make sure that you get on list funds and analysts that we will meet on our next workshop in the U.S. Thank you very much. And we look forward to coming back to you in the next quarter with further results to discuss.
Operator: Thank you for your participation. You may now disconnect. And have a wonderful day.